Operator: Good day, ladies and gentlemen, and welcome to the Southwest Gas Third Quarter 2016 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to introduce your host for today's conference Mr. Ken Kenny, Vice President of Finance and Treasurer. Sir, you may begin.
Kenneth Kenny: Thank you, Kelly. Welcome to the Southwest Gas Corporation’s 2016 third quarter conference call. As Kelly stated, my name is Ken Kenny, and I’m Vice President, Finance and Treasurer. Our conference call is being broadcast live over the Internet. For those of you who would like to access the webcast, please visit our website at www.swgas.com, and click on the conference call link. We have slides on the Internet, which can be accessed to follow our presentation. Today, we have Mr. John P. Hester, Southwest President and Chief Executive Officer; Mr. Roy R. Centrella, Senior Vice President and Chief Financial Officer; Mr. Justin L. Brown, Vice President Regulation and Public Affairs; and other members of senior management to provide a brief overview of The Company’s operations and earnings ended September 30, 2016 and an outlook for the remainder of 2016. Our general practice is not to provide earnings projections. Therefore, no attempt will be made to project earnings for 2016. Rather, The Company will address those factors that may impact this coming year’s earnings. Further, our lawyers have asked me to remind you that some of the information that will be discussed contains forward-looking statements. These statements are based on management’s assumptions, which may or may not come true, and you should refer to the language on Slide 2 in the press release and also our SEC filings for a description of the factors that may cause actual results to differ from our forward-looking statements. All forward-looking statements are made as of today, and we assume no obligation to update any such statement. With that said, I’d like to turn the time over to John.
John Hester: Thanks, Ken. Turning to Slide 3, to start off today’s call, I’d like to touch on some recent highlights for this year; first, from a consolidated results perspective, we have slightly refined our full year projections and they're substantially in line with our previously communicated expectations for 2016. In addition, our effort to move towards a holding company structure is on track and expected to be implemented effective January 2017. Looking at the natural gas segment in particular, we added 29,000 net new customers over the last 12 months. These additions are in line with our previously expressed expectations for 1.5% customer growth. We also saw the Public Utilities Commission of Nevada approved $57.3 million of accelerated pipe replacement work. The work is expected to be completed under our gas infrastructure replacement mechanism next year. In addition, on the heels of completing a $35 million expansion earlier this year, our federally regulated Paiute Pipeline subsidiary has announced a new $17 million expansion, that’s expected to be completed by the end of 2018. Also, recent highlights at our construction services subsidiary Centuri included a record quarterly net income contribution of $14.9 million. We’ve also refined our projection for 2016 construction segment year-end revenue to $1.1 billion. Moving to Slide number 4, our outline for today’s call will include an overview of consolidated earnings along with utility and construction segment detail by Roy Centrella, Justin Brown will provide a review of Southwest current regulatory initiatives including our pending Arizona rate case proceeding and our holding company restructuring. And I will close with an update on customer growth, capital expenditures and our outlook for year end results. With that, I will turn the call over to Roy.
Roy Centrella: Thank you, John. Welcome to those of you joining us today. I’ll provide a comparative summary of third quarter and rolling 12 months operating results for both operating segments and identify the factors which we expect to impact full year 2016 results. Starting with Slide 5, during the third quarter 2016, we reported net income of $0.05 per share versus a net loss of $0.10 per share during the third quarter of 2015. Small profit levels or losses are common in the third quarter, which is typically the lowest for the gas segment and the best for the construction services segment. The gas segment experienced the loss of $12.4 million in the quarter and improvements from last year’s third quarter loss of $18.9 million. Income related to company-owned life insurance or COLI policies was a principle factor effecting the net change. Centuri experienced record quarterly net income of 14.9 million versus $14.2 million previously. For the 12 months period, we earned $153 million or $3.22 per basic share. Notable increase from the $2.80 per share earned during the prior period. Next, we’ll look at results by segment starting with the gas operation segment on Slide 6. The gas segment operating loss during the quarter increased slightly to $10.2 million this year from $9.3 million last year. Operating margin grew by $6 million, but was offset by higher operating expenses particularly depreciation and amortization. Other income improved from the loss of $3.5 million last year to income of 2.5 million this year with returns associated with COLI responsible for the entirety of the change. Slide 7 provides a summary of operating margin growth of $6 million between quarters. We experienced small increases from customer growth, rate release, infrastructure tracker mechanisms and recovery conservation surcharges. Moving to Slide 8, you’ll see that operating expenses overall increased $6.9 million or 4% between quarterly period. Deprecation of property tax expenses accounted for 4.6 million of higher cost mainly due to the capital expenditures that were incurred. O&M expenses increased $2.3 million or 2%, largely due to system integrity efforts. Overall, operating expenses for 2016 are trending a little higher than expected, causing us to lower by 1% 2016 rate of growth range in operating income. However, we also narrowed our projection for interest expense, which should largely offset the higher operating expense forecast. Moving to Slide 9, we breakdown other income and deductions which increased by $6 million between quarterly periods. COLI related income was $2.3 million in the third quarter of 2016 compared to a loss of 3.9 million recognized in the prior period. Next, we’ll review the 12 months period on Slide 10. The gas segment contributions to net income increased to a $120 million from a $113 million. Operating income declined by 6.1 million as strong growth and operating margin was more than offset by higher operating expenses. The driver of the income improvement therefore was other income and more specifically COLI returns which were extraordinarily high in the current period and slightly negative previously. Slide 11 provides a breakdown of the $28 million improvement and operating margin between 12 months period. We recognized $8 million of new margin from customer growth as The Company added 29,000 net new customers at a growth rate of 1.5%. Rate relief in California and our Paiute Pipeline subsidiary also contributed about $8 million and another $8 million was attributable to Nevada Energy efficiency surcharge which is offset with amortization expense. Moving to Slide 12, operating cost increased $34 million or 53% between periods. O&M expenses increased $15 million or 4% from general cost increases and included about $4 million of incremental cost associated with integrity management and damage prevention programs. Depreciation expense and general factors combined increase $19.5 million or 7%, reflecting property additions as well as $6 million in higher amortization and regulatory assets. Slide 13 provides a summary of other income and deductions, which increased from 1.7 million to 9.6 million between 12 months period. Of note here is that both periods reflected COLI income outside our expected range of $3 to $5 million with the current period reflecting a much higher level of $7.5 million and the prior period much lower and loss of $200,000. Let's now turn our attention to Centuri. Slide 14 provides a summary income statement for the quarterly and 12 months period. The third is traditionally Centuri’s strongest earnings period of the year as its construction activities are at peak level in most of their operating areas. As noted earlier, Centuri achieved the record net income of $14.9 million in the most recent quarter, exceeding last year’s then record of 14.2 million. For the 12 months period, net income reached $33.1 million, up from $17.7 million recorded in the comparable period. Those 12-month periods were impacted by previously completed Canadian construction contract, which I'll touch on a minute. Slide 15, third quarter revenue of $340 million was 55 million or 19% greater than last year at this time principally due to expanded pipe replacement work, both in US and Canada, incremental work from awarded bid contracts as well as work with new customers. Construction expenses also increased 54 million or 22% between periods, leaving operating income pretty flat. Several factors lead to these results with slightly revenue growth. LNG cost included about $1 million related to management realignment activities and longer range growth planning efforts. And then, profit margins with several existing customers while good this year were little better last year primarily due to differences in the mix of work. Depreciation and amortization expense decreased $395,000 between the periods to the $2 million reduction in depreciation expense associated with the change in estimated useful lives of equipment, partially offset by additional equipment necessary to support the drilling volume work performed. Overall, the experience a solid favorable bottom line improvement from 14.3 million to 14.9 million. And Slide 16 summarizes the 12-month results and includes the following highlights. Revenue increased to $179 million or 19% between periods, due to additional bid and replacement work along with favorable weather last winter. Construction expenses were up a $159 million or 19% related to the increased work load. Then with regards to previously completed project, the current period includes $4 million of change order revenue recorded in the fourth quarter of 2015. All the prior period results included $7.7 million pretax loss reserve recorded on that same project earlier 2015. When you remove the noise from these unusual items, you get a better picture of Centuri's more recent trends. Let me now turn the time over to Justin Brown to provide regulatory update.
Justin Brown: Thanks, Roy. Slide 17 highlights four areas that will be the focus of my comments today starting with an update on our Arizona rate case, then progress on our infrastructure replacement program specifically our Arizona COYL program and our Nevada GIR mechanisms as well as an update on our LNG project, and an overview of a new Paiute expansion project as John mentioned previously. Lastly, I will briefly touch on the status of our holding company reorganization. Turning to Slide 18, as we’ve discussed previously our Arizona rate case application was filed on May 2nd, you may recall this filing mark the end of our 5-year rate case moratorium that was agreed to as part of our last general rate case settlement. Our rate application consists of several key components, first to request update rates to reflect our current level revenues and operating expenses, and capture the various capital investments that have been made since our last generation rate case. This request results in a proposed increase and annual revenues of $32 million. The $32 million increase is based upon a proposed rate base of 1.3 billion, which is a 25% increase over our currently authorized rate base of 1.07 billion. We are also proposing to increase our authorized cost of common equity capital from the currently authorized 9.5% to 10.25% relative to a capital structure consisting of approximately 52% equity. The increase in revenues is net of the corresponding proposed decrease in depreciation expenses of $42 million. When you combine the proposed increase in revenues with the proposed decrease in depreciation expense, the rate filings seeks total requested increase in operating income of $74 million. In addition to requesting to update rates to reflect our current cost of service, we’re also proposing several key regulatory initiatives. First, we’re proposing to continue our decoupled rate design with the continuation of our margin per customer decoupling mechanism, refer to as the EEP or Energy Efficiency Enabling Provision. Second, we are proposing to rebrand our infrastructure recovery mechanism as the gas infrastructure modernization mechanism or GIM mechanism, the idea to rebrand our cost recovery mechanism was driven in large part by or proposals to both continue and expand our existing customer-owned yard line program to accelerate the replacement of the approximately 80,000 COYLs in our system, but also to implement a new replacement program that will target the nearly 6000 miles of pre-1970s vintage steel pipes we have in our Arizona service territory. Third, we are proposing implemented property tax tracker whereby we would track any changes to our property tax expense back to the amount that was embedded in base rate following this proceeding and to implement a new rate that will adjust annually to reflect any changes in this expense. The anticipated bill impact to our average residential customer will be approximately $1.14 per month or 2.8% resulting in an average monthly bill of 42.47. Turning to Slide 19. Slide 19 shows the procedural schedule that was issued by the assigned administrative law judge in this case. We remain on track to receive staff and intervener testimony at the end of this month for all issues except the rate design, which will receive on December 14. Following receipt of their testimony, we’re scheduled to meet with all parties to determine whether settlement is an option in this case. If we’re unable to reach settlement, we’ll continue down the litigation path by completing testimony through the month of January, and then prepare for hearing that will begin February 6, 2017. We believe the procedural schedule lines up nicely to facilitate and anticipate a great effective date of May 2017. As we agreed to us as part of our last settlement agreement, new rates from this filing will not go into effect prior to May of 2016. Turning to Slide 20, we continue to focus on one of key regulatory initiative by establishing infrastructure recovery mechanisms in each of our jurisdiction in order to timely recover capital expenditures associated with commission approved projects and enhanced safety service and the reliability for our customers. In Arizona we received approval from the Arizona Corporation Commission to increase our surcharge revenue associated with the customer-owned yard line or COYL program from $2.5 million to $3.7 million. The surcharge because effective June 1st. The program was originally approved as part of our last Arizona rate case decision and began in 2012. In 2014, the commission granted us authority to expand the program to include a Phase II for the replacement of certain non-linking customer lines. The recently approved $3.7 million currently collected in rates based upon cumulative capital expenditures of $23.1 million of which approximately $7.1 million was incurred during 2015 for both Phase I and Phase II. Turning to Slide 21. In Nevada, we continue to make progress on working collaboratively with our Nevada regulators to identify replacement projects to be replaced on an accelerated basis. We originally proposed to develop an infrastructure recovery mechanism as part of our 2012 general rate case and ensuring the commission opened a rulemaking to develop regulations for gas infrastructure replacement recovery. These regulations were finalized in January 2014. And as you can see on the left hand side of the Slide 21, since 2014, we’ve received approval to replace over a $115 million of qualifying replacement projects. $14.4 million was approved in 2014 for replacement of early vintage plastic pipe during calendar year 2015. And in October 2015, we received approval to replace up to $43.5 million of replacement work during calendar year 2016, this work consisting of replacement of both early vintage plastic pipe as well as a vintage steel pipe replacement program. Most recently, we received approval to replace $57.3 million of qualifying projects during 2017. These qualifying projects consist of continuation of early vintage plastic pipe replacement activity, pre-1970's vintage steel pipe replacement, and a COYL program in Northern Nevada, which was largely modeled after our Arizona COYL program. And Nevada, GIR regulation also permit us to make a separate filing to implement a surcharge to recover the deferred revenue requirement associated with previously approved projects. As illustrated on the right-hand side of Slide 21, each year we reset the surcharge by taking the cumulative deferral less any recoveries from the existing surcharges to establish an updated surcharge amount. As noted on Slide 21, we have made filings in both 2014 and 2015, and we are currently collecting $3.8 million as a result of the rate application that was approved late last year. We recently made our 2016 rate application last month where we requested to update the surcharge to collect $4.5 million of additional deferred revenue requirement associated with the previously approved and completed work. If approved, the updated surcharge will become effective January 1, 2017. Turning our focus to expansion and reliability projects, we continue to make progress on the construction of our previously approved liquefied natural gas storage facility. You may recall the Arizona Corporation Commission authorized preapproval to construct the proposed LNG facility and deferred cost of the 50 million through November 2017. The original cost estimates was developed during the fall of 2013. We filed for preapproval in January of 2014 and received commission approval to proceed with facility in December of 2014. Since that time, we’ve invested approximately $4 million of capital expenditures primarily associated with the land that was chosen to site the facility. During the end of 2015 and the first part of this year, we completed the frontend engineering design work and finalized the construction requirements bid package for potential contractors. We solicited engineering procurement and construction business this summer, and we see those bids into September. After analyzing the various bids, we decided to make a bond with the ACC requesting to modify the preapproval decision to reflect a new not to exceed amount of $80 million, which reflects the current market pricing to construct the 233,000 dekatherm LNG facility. We expected decision from the ACC before the end of the year. We anticipate construction taking approximately two to three years to complete following a noticing to proceed to the contractor. Paiute recently announced a new expansion project on its system, as John mentioned previously. In response to shipper interest from additional transport -- for additional transportation service capacity in the Carson City and Salt Lake Tahoe areas, Paiute conducted a non-binding open season and a subsequent binding open season to allow present future shippers an opportunity to request additional transportation capacity. Following this open season, Paiute entered in precedent agreement with Southwest Gas during the third quarter of 2016 for incremental transportation capacity and to shift delivery point locations along the system. In total, the project will consist of 8.4 miles of additional transmission pipeline infrastructure at an approximately cost of $70 million. In October 2016, just this last month, Paiute initiated and received approval to proceed with the pre-filing review process with the Federal Energy Regulatory Commission for the expansion project. A formal certificate application is expected to be filed by the summer of 2017, at which time an environmental assessment walk will be facilitated. If the process progresses as planned, the additional facilities could be in place by the end of 2018 with new rates in place coincident with the in-service date. Lastly, Slide 23 highlights the progress we’ve made on our regulatory application seeking approval to reorganize into a holding company. We made filings in October 2015 with each of three state regulatory commissions, requesting approval of plan to reorganize into a holding company structure. The proposed reorganization is designed to provide further legal and financial preparation between the regulated and unregulated businesses, and we have received approval from all three of our state regulatory commissions. We are currently working internally on making sure that we’ve identified and considered each of the appropriate business process changes that need to be considered as part of this type of reorganization, as well as working through the necessary third party consents, and then receiving final board approval. We anticipate the reorganization become effective January 2017. And with that, I’ll turn it back to John.
John Hester: Thanks, Justin. Turning to Slide 24, as I mentioned at the outset of the call, Southwest Gas added 29,000 new customers in the past 12 months which represents a growth rate of approximately 1.5%. The additional customers came primarily from new meter sets with the slow increment coming from net existing meter turn-outs. Our customer found across our three state service territories now totaled just under 2 million customers. On Slide 25, we present data illustrating the improving economic conditions in our various operating jurisdictions. Unemployment rates are generally down year-on-year, and we continue to observe new job creation. Turning to Slide 26, three-year estimate of capital expenditures for years 2016 to 2018 in our natural gas segment continue to range from between $1.4 and $1.6 billion. Our 2016 capital expenditures are now estimated at $470 million by year end up only slightly from our prior estimate of $460 million. The accompanying pie chart shows the breakdown of those investments amongst several categories including an increased portion that is covered under infrastructure replacement mechanisms. Moving to Slide 27, our continuing capital investments to ensure a safe and reliable distribution system for our customers as resulting in our net utility plants growing, over the past four years, this metric grew at a compounded annual growth rate of 5.9%. Now turning to Slide 28 and our outlook for 2016. In the natural gas side, we anticipate margin growth of 3%. This amount includes some additional $11 million of Nevada conservation program cost recovery, which has an accompanying similar amortization expense. We expect a modest increase in O&M expense which reflects higher, general and incremental costs are partially offset by a pension cost decrease. Depreciation and general taxes are expected to increase consistent with gas plant growth of 5% to 6% along with the previously noted Nevada conservation programs amortization. Operating income should increase by 2% to 3%, down slightly from our previously communicated estimate of 3% to 4%. Prospective COLI returns are expected to range from $3 million to $5 million. This figure is generally expected to track trends both up and down in the broader equity markets, and net interest deductions for 2016 are expected to increase by $2 million to $34 million down slightly from our previously estimated $2 million to $4 million increase due to the financing needs of our capital expenditure programs. This figure includes the impact of $300 million in senior notes that were issued in September. Finally on Slide 29, we have an update on the year end outlook for our Centuri construction group. Again, as I mentioned at the outset of the call, construction segment revenues expected to total $1.1 billion as many utilities have engaged in multi-year safety-oriented pipe replacement programs. Operating income should approximately 5% of revenues a refinement from our prior range estimate of 5% and 5.5%. Net interest deductions are estimated to range between $6.5 million to $7.5 million based on current interest rate levels. Recall that our collective expectations include consideration of earnings attributable to non-controlling interest. And also, please remember that our results can be impacted by changes in foreign exchange rates. With that, I will return the call to Ken.
Kenneth Kenny: Thanks, John. That concludes our prepared presentation. For those who have access to our slides, we have also provided an appendix with slides that includes other pertinent information about Southwest Gas and they can be reviewed at your convenience. Our operator, Kelly, will now explain the process for asking questions.
Operator: [Operator Instructions] Our first question comes from the line of Matthew Tucker with KeyBanc. Your line is now open.
Matthew Tucker: I guess I'll just start by addressing the elephant in room that's probably on everyone’s mind today. I’m not sure how much the election outcome really affects things for you guys, one way or another, but I guess one thing I was thinking of is, it has clearly been a lot of regulatory scrutiny or emphasis on pipeline integrity in that’s been a driver in particular at Centuri and also some extend at your utility. Do you see any, I don’t know if risk is the right word, but I guess risk of the regulatory emphasis being changed on that side of things under the Trump administration.
John Hester: Hi, Matt, this is John. I don't think so. I think that the safety focus that has been a priority for companies over the past couple of years has been certainly a focus of federal levels, that has also been a focus of the state level; and I would anticipate that, that focus on continuing to operate safe and reliable distribution system and to be pretty aggressive for distributors to replace ageing infrastructure will continue. I think, actually, that’s one of things that stayed up late last night and listen to the acceptance speech of Mr. Trump, he mentioned infrastructure for the country. So, I don’t think that there will be any negative impacts of the elections results.
Matthew Tucker: Got it. I think that makes sense. I mean, I guess, he's also talked about removing some regulations for the oil and gas industry. Probably didn’t mean for gas utility pipeline safety to your point, I guess just more specifically, are there any regulations that may be aiming more at the upstream oil and gas industry that has been also a driver for utility pipeline integrity?
John Hester: Matt, this is John, again. I think that when I look at that, I look at that as probably directionally, and this is a personal opinion, probably just continuing to allow the development of domestically produced energy into the extent that we have continued abundant supplies at reasonable prices for our customers. Again, I think that’s going to be directionally positive for our business.
Matthew Tucker: Thanks and I think that makes sense too. And then I guess just wanted to follow up on the comment about the mix of work as Centuri affecting the margins in the quarter. Any more color you can provide on what’s going on there and is that something you expect to continue. I know you’ve brought the full year margin guidance down, but I wasn’t sure if that was just kind of reflecting what you’ve seen year-to-date or you see this mix continuing to trend the same way going forward?
Roy Centrella: Hi, Matt, this is Roy. When we talk about mix of work, you can view that a number of things that go into that like on our blanket contracts for instance, dependent on and in particular quarter you may have lot of let’s say, service replacement work, which tends to be scattered more. And your proper margins are going to be little lower and those kind of jobs, as opposed to say, a main replacement where you have a longer run of work. And so, there is that kind of thing, and then in terms of bid jobs, when we’re bidding on work sometimes you have very good conditions that you’re working in, weather cooperates. And you're not in tight quarter quarters and things like that. And so, you end up with some good profit margins. The last year, we just had some jobs that kind of fell in the sweet spot. This year, we had good profitability, obviously good work, but perhaps just a little bit more of the scattered service-type network. So, we don’t see there being any issue relative to our profitability trend, just a quarter-over-quarter kind of anomaly in the nature of the work.
Matthew Tucker: Got it. Thanks, Roy. And then, last question for me, on the LNG project, I guess could you just discuss little bit more the potential, the outcomes there and what you would do? I assume, if the increased $30 million is approved, you move forward. But, if that isn’t, what you do then? Is there a potential outcome that’s kind of compromised there?
Justin Brown: Matt, this is Justin. I think that's why we made the filing was in light of kind of the process from where we have the original conceptual design and kind of the cost estimates to the three years later where we actually have the current market price in associated with utility. Why we wanted to make the filing to make sure that, we’re on the same page with the regulator because again one of the permits for that facility was. It’s a way to incrementally enhance the service reliability for that Southern part of our service territory in Arizona. And we just want to make sure that the regulators still on board with that. The only difference really and what we originally proposed now is just the price. All the benefits remained in the same. The bill impacts relatively the same as well. And so, we don’t anticipate given the back that everything is pretty much the same, other than the ultimate cost of the facility is different that there should be too much issue with it.
Matthew Tucker: I guess just a follow-up for that. So it sounds like this shouldn’t come as a huge surprise that the commission because that 50 million always presented as kind of estimate and it was expected that you'd come back with a formal price, once you have more information, is that fair?
Justin Brown: Yes and we've had ongoing discussions with them through the process. So, again it’s, we try to work very collaboratively with our regulators. And it’s something, we’ve had ongoing discussions with and we’re making them aware of things as the information became available to us as well.
Operator: Thank you. And I’m showing no further questions at this time. I’d like to turn the call back to Mr. Kenny for closing remarks.
Kenneth Kenny: Thank you, Kelly. This concludes our conference call, and we appreciate your participation and interest in Southwest Gas Corporation. Thank you and have a great day.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. That does conclude the program. You may all disconnect. Everyone have a wonderful day.